Operator: Good day, ladies and gentlemen, and welcome to the Everbridge First Quarter 2018 Earnings Conference Call. [Operator Instructions] As a reminder, this call may be recorded. I would now like to introduce your host for today's conference, Mr. Ken Goldman, CFO. You may being.
Ken Goldman: Good afternoon, and welcome to Everbridge's earnings conference call for the first quarter of 2018. This is Ken Goldman, Senior Vice President and Chief Financial Officer of Everbridge. With me on the call today is Jaime Ellertson, CEO and Chairman; and Bob Hughes, President. After the market closed today, we issued a press release with details regarding our first quarter results, which can be accessed on the Investor Relations section of our website at ir.everbridge.com. This call is being recorded and a replay will be available on our IR website following the conclusion of the call. During today's call, we will make statements related to our business that may be considered forward-looking under federal securities laws. These statements reflect our views only as of today and should not be considered representative of our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlook. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. These risks are summarized in the press release that we issued today. For further discussion of the material risks and other important factors that could affect our actual results, please refer to our filings with the SEC included in our recent 10-Q and 10-K filings. Also during the course of today's call, we will make reference to certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our press release. Finally, at the times in our prepared comments or responses to your questions, we may offer metrics that are incremental to our usual presentation to provide greater insight into the dynamics of our business or our quarterly results. Please be advised that we may or may not continue to provide these additional details in the future. With that, let me turn the call over to Jaime for his prepared remarks.
Jaime Ellertson: Thanks, Ken, and welcome to all of you joining our first quarter of 2018 earnings call. Our first quarter 2018 quarterly performance represents a very strong start to the year for Everbridge. Not only did we exceed our revenue and adjusted EBITDA guidance for the first quarter, we also continued to set new records for a number of important metrics, and kick off what we believe will be a very successful 2018. Revenue in the first quarter was $30.5 million, representing growth of 34% from a year ago. Allow me to point out that this growth is all organic, given that our two acquisitions a year ago closed by earlier January and that UMS did not close until early in the second quarter of 2018. This 34% organic growth also represents the seventh straight quarter we have exceeded our guidance in our seven quarters as a public company. Our strong top line performance contributed to a reduced adjusted EBITDA loss of $1.8 million in Q1. That exceeded the high end of our guidance by $700,000. Our performance in the first quarter clearly demonstrates our strategy is working as we achieved an enterprise customer count that reached 3,811 at the end of the first quarter, with 100 net new additions in Q1, up from 3,318 customers a year ago. This does not include hundreds of new enterprise customers that we added in early Q2 from the UMS transaction. Our strong Q1 results also included 70 multiproduct deals compared to 54 a year ago, a year-over-year increase of 30%, helping to raise our trailing 12-month average to 64 multiproduct deals per quarter. The increasing number of multiproduct deals is being driven by our success with our CEM suite as well as our success with our newer solutions like Safety Connection, IT Alerting and Visual Command Center, and demonstrates our ability to increase the strategic value we deliver to customers with our expanding suite of products. In parallel, we saw a continued strong contribution from our new products, with 49% of new and growth sales on a trailing 12-month basis from products other than our core Mass Notification solution, up from 32% a year ago. As just one example of this success, our Safety Connection solutions racked up year-on-year growth of over 200%. Our success with these large multiproduct and CEM deals is reflected in the sheer number of large transactions we completed in Q1, a total of 19 six-figure or larger transactions or almost four times as many as in the first quarter a year ago. A revenue mix of 54% for corporate, 31% for state and local government and 15% for health care markets remained roughly consistent with previous quarters. And I am delighted to report that our international business, without the benefit of any contribution from the UMS acquisition, showed solid progress by reaching 11% of overall revenue compared with 9% a year ago. In other words, this means that our international business grew by more than 60% year-over-year. These results are a direct outcome of our continued strong execution on our three core strategic growth initiatives. Our first growth initiative continues to be driving sustained growth in our core Mass Notification market, with the addition of larger city and state contracts, while in parallel, driving larger relationships in corporate and health care customers as well as expanding our presence in both the federal and international markets. We believe that the completion of the UMS acquisition in early Q2 will allow us to supersize this strategy by enabling us to go after not only cities and states but now entire countries. First allow me to explain what is so special about UMS. UMS has three distinct product lines, the first product is SaaS-based Mass Notification solution similar to Everbridge, with over 1,000 public and private customers in Northern Europe. The second product, Previstar, is a solution that allows organizations to plan for manage and administer resources for, during and after crisis. This solution is deployed in major markets like the U.S., in the states of Pennsylvania and Virginia and internationally, with customers such as the state of West Bengal in India. The third product that UMS adds to our portfolio is called the Population Alerting System or PAS for short. And PAS leverages a patented location based alerting system called LBAS. This highly scalable technology works by integrating a component that is installed within a operator's infrastructure to understand the mobile device subscribers that are connected to the network and then quickly enable authorities to alert all connected mobile users within the specific geography. For example, should a terrorist event occur in a city like Stockholm, local authorities can simply ask the system for all connected mobile users within a 10-mile radius to Stockholm and then send the message within a few minutes to a few thousand or to millions of users. From residents to foreign visitors, coverage for virtually the entire mobile population. And do so with standard one-way or two-way SMS text messages. Additionally, our PAS solution is the only solution that can be used by governments to identify and locate international visitors within an affected area and then resubmit tailored messages in multiple languages. And this can all be done without requiring any action on the part of the mobile user, while at the same time, protecting their privacy. This combination of advanced functionality and proven scale is unique in the market and is protected by over 70 patents globally. It has been deployed as the national notification system in whole countries like Sweden, a contract with a total value of $13 million over seven years. Greece, the Netherlands and Singapore, UMS' latest countrywide win. Once implemented within a country, we believe PAS will enable a network effect for winning adjacent customers in a similar fashion to our large U.S. state contracts. Simply stated, our new PAS and LBAS technologies are a game changer for Everbridge in the global markets and create a significant barrier for our competition. In addition to the significant expansion of our international market opportunity with UMS, we continued to work hard to complete our FedRAMP certification process and are on track to expand our federal market opportunity by this summer. The combination of the UMS solution and FedRAMP will substantially expand the size of our addressable market for our core notification business, and enable us to continue to grow this business at what we believe are industry-leading rates into the foreseeable future. Our second growth strategy continues to be focused on achieving best-in-class contract renewals as well as driving cross and upsell deals into our growing base of over 3,000-plus enterprise customers. During first quarter, these growth numerous up sales across all our major markets, corporate, state and local government and health care. With multiple six-figure IT Alerting and Visual Command Center transactions sold in both North America and international customers. Our broad product suite as well as the addition of crisis management and analytics over the next 12 months will continue to drive [Audio Gap] products sold into each customer ultimately driving similar results to Q1, where our number of six-figure transactions increased by almost 400%. Our third strategic growth initiative revolves around our CEM or Critical Event Management strategy. As we unfortunately all well know, our market drivers are accelerating. With more senseless acts of violence like the recent Parkland or YouTube shootings or the van attack in Toronto or the impact of weather events and natural disasters, such as the recent California mudslides or the cyclones in Australia, these terrible events continue to highlight the need for a single integrated CEM solution. Let me briefly remind you of what our CEM solution does. CEM provides an enterprise-wide common operating environment that provides situational awareness, integrated incident and operational response and communications and collaborations across a wide range of critical events. The solution keeps track of an organization's most important assets: people, IT systems, supply routes and even brand and reputation. By continuously and automatically, monitoring, both threats and assets, the solutions can immediately alert any impact to stakeholders and activate predefined standard operating procedures, when a critical event intersects with one of these important assets. These advanced workflows can guide the people who can respond to or resolve the issue, locate and instruct those who may be affected and continually update those who need to know, all automatically. In Q1, you can see the interest in our CEM solution turning into action with our accelerating market success. In the first quarter, the average spend on our CEM – by our CEM customers was double than in any previous quarters, and we recorded our first seven-figure CEM relationship. Equally important to our Q1 CEM results demonstrate the broad appeal of our solutions, with the new and growth customer participation from leading corporations across the technology, services and health care markets. Our suite strategy is really resonating with most senior executives that become exposed to it. Once they see that they can get a complete view of their global physical assets, people and IT infrastructure overlaid with threat exposure, they quickly understand the CEM benefit. As one senior executive of a leading financial institution recently told me, “why would we want two views, two alerting infrastructures, two versus one integrated solution across the enterprise?” One industry trend that is helping over CEM adoption is the creation and deployment also called fusion centers, our internal operation – or internal operations or command centers that are responsible for major incidents within a company, regardless of the nature. Instead of deploying multiple 24/7 teams for IT, physical security, cybersecurity, supply chain and more, these fusion centers allow for a single team to manage the incident across the organization and dispatch the appropriate teams to resolve the issue where necessary. These fusion teams required capabilities that previously relied upon multiple disjointed tools, that is, until Everbridge CEM. Moving forward, we want our CEM suite to integrate deeper analytical capabilities to enable management, visualization and analysis of not just spatial but also graph-based data associations. This long-term vision for our CEM supports our continued growth in our current markets that focus on management of critical events and the physical security space as well as the IT systems and application space, with an eye towards going deeper into analytics space to leverage the insight from the unique operational data that flows through our solution. An addressable market estimated to be in the billions. And we'll continue to supplement these growth strategies with our corporate development activities, when a buy makes more sense than internal build or partner strategy. Q2, we've already small a tuck-in acquisition to broaden our CEM suite. And while this asset purchase was not material in size or revenue, it will enable us to enhance our overall solution offerings over the long term. These products in geographic expansion opportunities continue to be the primary focus of our ongoing corporate development activities. Overall, our Q1 results demonstrate the success we are experiencing with our strategy, and illustrate the clear business momentum we believe should continue to be reflected in our quarterly results throughout 2018. Our leadership is also being recognized by a few of the industry awards that our products and teams received in the first quarter, including the top security award for Campus and Life Safety Magazine for one of the fastest growing products, Safety Connection. And the new product of the year in Information Security Space by Info Security Products Guide for our IT Alerting solution, which also won the prestigious Pink Elephant award for innovation of the year. Now, I'd like to turn the call over to Bob Hughes, Everbridge's President, to discuss specific color on our go-to-market success in Q1.
Bob Hughes: Thanks, Jaime. As you indicated, our strong first quarter performance was characterized by a growing number of multiproduct deals at new and existing customers and across all of our target markets. After nine months at Everbridge, I continue to be impressed by the strong recognition that customers and prospects have for Everbridge's award-winning products, our people and our vision for Critical Event Management. In Q1, we added 100 net new customers, bringing our total enterprise customer count to 3,811. This does not include the customers we acquired through UMS. Now I would like to provide some further color on the growth themes that Jaime outlined that how they contributed our results in the first quarter. First in the area of global adoption of our Mass Notification products, we signed numerous large contracts in the quarter and continued to build the pipeline for MN business. Mass Notification remains one of the most meaningful contributors to both – to our business, both from new customers and from the cross sell and upsell growth deals. In the first quarter, we signed a multi-year six-figure enterprise agreement with Prospect Medical Holdings, a leading national health system that oversees 3,800 hospital beds. They selected Mass Notification to facilitate two-way communications, using multiple modalities across all 20 of their health system hospitals. We added a key win with the state of Michigan, where Everbridge will be providing Mass Notification services to all state employees. This builds on our existing relationship with the Michigan State Police and sets the stage for us to provide Mass Notification on a full statewide level for all citizens. We signed the municipality of Waterloo and Ontario, covering seven cities and townships in a six-figure deal to provide Mass Notification to over 583,000 citizens. We also added key higher education wins in Canada, including the University of Guelph and Western University. In Q1, we also work closely with the U.S. Virgin Islands. Following the devastating effects of hurricanes Irma and Maria, they recognized the need to invest in a statewide system for Mass Notification for all of its citizens and selected Everbridge. And going forward, we'll be able to leverage the solutions from UMS to sell substantially larger projects in the international arena, including to entire countries. Our strong quarterly results also included meaningful growth in the number of multiproduct customers, with 70 added in Q1 compared to 54 in the first quarter of 2017. As Jaime mentioned, our increase in multiproduct deals in the first quarter also drove the number of six-figure or larger deals to 19 in Q1. As a result of continued success in landing large multiproduct deals, our trailing 12-month average selling price increased to 45,000 in the first quarter. Sales of new products included – including Safety Connection Pro, IT Alerting, Community Engagement, Crisis Commander and CareConverge contributed to new customer additions in the quarter as well as growth at existing customers. As Jaime mentioned, in Q1, new products constituted 49% of our new and growth sales on a trailing 12-month basis, up notably from 32% in the first quarter of 2017. In the first quarter, we continued to experience strong market adoption for Safety Connection at a number of leading companies and universities, extending Safety Connection's position as one of our fastest growing products. As part of a key competitive takeaway, we signed a major California University, which will now be providing Safety Connection to their students, faculty and staff. The RFP in fact had an extensive testing process, including support of the great shakeout, to review communication processes in the event of a large earthquake. Our product capabilities and deep customer experience with this type of event were the determining factors in winning this business. Other notable new Safety Connection wins in the first quarter included a large utility with over 10,000 employees and serving over 5 million natural gas and electric customers. In order to be prepared for all events, whether alerting a lone worker encountering a fire in the field, or ensuring their call center is adequately staffed for the 12 million calls they receive annually, they chose Safety Connection Pro, Incident Management and Crisis Commander, identifying Everbridge as the single partner to meet all of their needs. We also recorded numerous IT Alerting wins in the quarter. And as in Q4, many of these deals fell in the larger six-figure or above category. We signed our first ever five-year deal for IT Alerting, resulting in a seven-figure total contract value with a large energy company. In addition to leveraging Everbridge for Mass Notification, and this is a great example of our ability to land and expand, this customer also needed help – to help their field technicians respond to events disrupting IT applications and systems that are critical to delivering services to their clients. Improving the response automation for critical infrastructure and IT service management organizations is core to IT Alerting's value, as a result, it is also driving numerous competitive displacements. Bundled with Safety Connection, IT Alerting was the deciding factor in a six-figure new customer win in New York Stock Exchange listed bank, with over $23 billion in total assets and 320 branches across the country. Leveraging Everbridge and able to bank to standardize on one platform for both employee safety and the protection of business-critical assets. One of our more significant multiproduct transactions in the quarter was a multiyear seven-figure win for Safety Connection Pro with one of the largest retailers in the world encompassing over one million employees located in hundreds of facilities globally. This started out as a Mass Notification deal and expanded to include Safety Connection to enable a mainline of defense for the security professionals to aggregate fully location data for multiple sources, including building access control systems. Together with their existing implementations of VCC, this retailer is now among our largest Critical Event Management, or CEM, customers. Which brings us to our third growth driver, our CEM platform, which, again, consists of the combination of Visual Command Center and one or more solutions, including Mass Notification, Incident Management and Safety Connection. In the first quarter, we closed multiple six-figure deals, with existing customers expanding to CEM, including a number of customers adopting VCC, the anchor of our CEM vision. Other examples include one of the top four global consulting firms, which added VCC in the first quarter, just six months after purchasing Safety Connection, expanding their CEM solution. The largest health care company in the world with roughly 3,000 locations and over 200,000 employees spread out across the U.S. purchased VCC to help automate much of their risk awareness following last year's hurricanes and fires impacting the U.S. They'll be integrating VCC with their existing Everbridge Mass Notification system as part of the Everbridge CEM platform. A global defense that does business in some of the most dangerous business in the world was lying on Internet-based maps, spread sheets and manual processes to understand potential risk to their employees, facilities and relevant military bases. Following the decision to stop building their own tools, they turned to VCC and our world-class CEM platform to pull all their asset information into one common picture, automating their awareness and more quickly understanding and reacting to impactful threats. Both international partnering opportunities continue to represent significant expansion potential for Everbridge. In the first quarter, we signed our largest new business deal outside of North America with a multinational media and digital marketing company located in more than 100 countries, signing a six-figure deal for three years. During the RFP, it was our CEM vision and global approach to weather and threat intelligence that secured this deal. They selected Safety Connection with smart weather and threat view to have the most complete weather and threat data available for all 45,000 members of their global staff. In addition to our direct international activity, multiple partners are gaining traction. During the quarter, we closed a number of new and growth deals in Asia, including a major new contract win with the Asian Development Bank in the Philippines, we chose Everbridge along with our partner International SOS. We also closed Roche, Singapore, one of the world's leading health care companies through our partnership with InspireTech. And our European partner, Metric Stream, signed the world's leading Scandinavian furniture chain onto the Everbridge platform. Here in the U.S, with our strategic partnership with G4S, Everbridge was selected by the transportation and housing project lead that's transforming downtown San Francisco's original transportation system. Everbridge will provide transportation-specific notifications to manage risks and threat for the transit organization. This also paves the way for other key strategic transportation and programs, and complements our already strong position serving U.S. airports. So in summary, we're off to a good start in 2018. We continue to land new customers with both Mass Notification and other new products. We also continue to demonstrate our ability to win large multiproduct deals with new customers and expansions at existing clients. And our CEM vision continues to resonate with customers and strengthens our position as the leader in the Critical Event Management space. Now let me turn the call over to Ken for details on our first quarter financial performance, and our outlook for Q2 and the full year. Ken?
Ken Goldman: Thanks Bob. I’ll provide some more detail on our financial performance for the first quarter, and then discuss our outlook for the second quarter and the full year of 2018. Revenue in the first quarter grew 34 from a year ago to $30.5 million and was above the high end of our guidance range. Revenue upside in the quarter helped generate adjusted EBITDA that also exceeded our guidance, at a loss of $1.8 million compared to an adjusted EBITDA loss of $2.3 million a year ago. Our dollar-based net retention rate remained above 110%, reflecting the significant value and transaction satisfaction that we provide to our customers. Now I'd like to turn to details of our P&L. Unless otherwise indicated, I will be discussing income statement metrics on a non-GAAP basis. A reconciliation of GAAP to non-GAAP measures has been provided in the earnings release we issued earlier today. Gross margin of 71.2% increased from 70% a year ago. While we are pleased with the continued upward trend in gross margins as our business scales, please keep in mind that as we've said in the past, gross margins can fluctuate from quarter-to-quarter. Total operating expenses were $25.5 million in the quarter, an increase of 26% from a year ago reflecting the combination of continued product and investments. In addition, due to the recent changes in accounting regulations, we can no longer capitalize expenses related to M&A transactions, and therefore, our first quarter expenses included costs related to the UMS acquisition that would have previously been capitalized. Note, that in the first quarter, we also adopted ASC 606. As we've indicated in the past, we expect the impact of this accounting standard to be immaterial to both revenue expenses, mainly due to the routable route condition of our subscription revenue model, and because we had already been capitalized sales commissions over the licensed term. As I indicated, adjusted EBITDA loss for the quarter of $1.8 million exceeded our guidance range. Net loss in the first quarter was $4.8 million or $0.17 per basic share and was also better than our guidance compared to a loss of $4 million or $0.15 per basic share in the year ago quarter. GAAP net loss was $12.3 million or $0.43 per basic share. Note that while our GAAP net loss was within our guidance range, it was impacted by higher-than-anticipated stock-based compensation expenses. In 2017, we issued performance stock units to certain members of our management team as part of our retention and compensation program. These performance documents reached an initial vesting trigger based on a 50% increase on our share price to $35 per share and approximately 10 months after the initial grant. If not for this trigger, GAAP net income would have also exceeded our guidance range. Turning to our balance sheet, we ended the quarter with $152.1 million in cash, cash equivalents and short-term investments, an increase from $146 million at the end of the fourth quarter, due to $7.5 million in operating cash flow, partially offset by $2.3 million in capital expenditures and capitalized software development costs. The change in free cash flow is primarily due to the timing of certain customer payments which were received in January. Note, that in the first quarter, our payment for UMS totaled approximately $300,000 and that our cash balance as at the end of the second quarter will reflect the remaining $35.2 million in payments that we made in April. Total deferred revenue was $71 million at the end of the quarter, an increase of 27% from a year ago. As we've noted on prior calls, our deferred revenue balance at the end of any quarter can vary due to a number of factors, including seasonality, in which the first quarter represents the smallest quarter for renewals and the fourth quarter being the largest. As such, even though we have predominantly annual payment terms, deferred revenue is not always a meaningful indicator of the underlying momentum in our business from a quarterly perspective, though we believe it is directly relevant over a longer trended period. Now let me turn to our outlook. We're off to a solid start in 2018 and remain optimistic about the balance of the year. I'd also like to note that there could be future adjustments to guidance that we're providing today as we complete the purchase accounting for UMS. With that backdrop, for the second quarter of 2018, we anticipate revenue of between $34 million and $34.3 million, representing growth of 36% to 37%. We anticipate an adjusted EBITDA loss of between $2.7 million and $2.4 million. We anticipate a non-GAAP net loss of between $6.5 million and $6.2 million or between $0.23 and $0.22 per share based on 28.6 million basic weighted average shares outstanding. Stock-based compensation expense is expected to be approximately $6.3 million for the second quarter. For the full year 2018, we're raising our revenue guidance to the range of $138.7 million to $139.8 million, representing growth of 33% to 34%, which as in our previous guidance, includes an anticipated contribution of $3.5 million to $4 million from UMS, after taking into account a partial year and the purchase accounting impact on acquired deferred revenue. From a profitability perspective, we now anticipate full year adjusted EBITDA to be in the range of a loss of $3.7 million to $3 million, which as Ed mentioned, could be subject to future changes as we complete purchase accounting for UMS. We expect a non-GAAP net loss of between $17.3 million and $16.6 million for the full year 2018 or between negative $0.59 and negative $0.57 per share, based on 29.2 million basic and diluted weighted average common shares outstanding. This includes the impact of an estimated $5.1 million in net interest expense, primarily related to our convertible notes. This guidance assumes an estimated stock-based compensation expense of approximately $23.7 million for the entire year. Finally, we look forward to meeting with those of you who plan on attending our analyst and investor meetings at our office in June, who will meet a number of Everbridge executives, see demos of our software and hear more about our vision for Critical Event Management. If you'd like to attend and have not received an invitation, please send a note to me or our IR team. In summary, we're off to a solid start in 2018, with revenue and adjusted EBITDA that exceeded our guidance ranges for the first quarter. We're enthusiastic about our opportunities to accelerate the expansion of our geographic reach with our acquisition of UMS and remain optimistic as market demand for our Critical Event Management solutions continues to grow. With that, operator, we're now ready to open up the call to questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Michael Nemeroff with Credit Suisse. Your line is open.
Michael Nemeroff: Hi, guys. Thanks for taking my questions. Congratulations on what look to be a really nice Q1. I'm just curious, when we were doing some checks on some other software companies, I keep hearing that the government or public sector business is really starting to take off at the statewide level. I'm curious if you're seeing that? And if that's the impetus to kind of put that FedRAMP and some of the other public sector businesses in focus for you? And then also from Ken – for Ken, excuse me. I think that you heard that you said, there were no change in the expectation of what UMS is going to contribute for the year, so I'm just kind of curious, where is the upside in the guidance coming from? What specific products or areas are you seeing a little bit more than you expected? Thanks.
Jaime Ellertson: Yes. Let me take those, Mike. The federal market, as you know, we've had this project in place for over a year. So we believe that the federal market has been serviced by essentially one of our competitors. We had not participated heavily in the federal market. We only participated in public federal opportunities. None of the military, or in fact, for the most part, larger opportunities and have concentrated in the private sector. And with the advent of the FedRAMP approval process, it enables SaaS vendors to really qualify at the same level of security and comfort that many government organizations view as previously held for on-site and on-premises solutions. So we believe that, by this middle of the summer, we will be certified and have initial ATO and be moving to final certification across the government. We can't control 100% that timing, but we're meeting all of our internal deadlines. And believe that's going to open up the market, which we have estimated previously to be equal to our state and local business. That business last year generated over 30% of our total revenue. So that's a big market opportunity for us. And yes, we do see growing opportunity still on our state and local business but also on the federal market. So we're bullish about that business as I hope my remarks lead you to believe we are. On your second follow-up question on UMS, the PaaS solution, the SaaS solutions, the Previstar solution, the three different products at UMS, we believe will all do well this year. We're still integrating some of that. We had to deal with deferred accounting – deferred revenue accounting for the acquisition, but we believe we will see a positive upside there. But also positive upside, as I mentioned, from products like Safety Connection, which is year-over-year showing growth in the 200% range. And then IT Alerting, which is really coming on. It had a very strong quarter and we see upside. And as Bob said, our CEM strategy is really anchored on one end with VCC. And as I mentioned, we roughly doubled the spend in our VCC customers and the CEM suite in total. I had our first seven-figure customer there, relationship with multiple products around the Critical Event Management suite. And on the other hand, you have Safety Connection, which as I said, is growing around 200%-plus year-over-year. So I think there are more than enough products to take up the difference in the growth, and we look forward to future quarters to see that evidence. But it does not have to – growth does not have to come from the UMS acquisition alone to meet our increased guidance throughout the year.
Ken Goldman: And Michael, this is Ken. As we said, we're still finalizing the acquisition accounting so that we may update our guidance no later than the next quarterly earnings call related to UMS as to what contribution it will make in 2018.
Michael Nemeroff: Great, thanks, guys. Thanks for taking questions. Good job, thank you.
Ken Goldman: You bet, thank you.
Operator: Thank you. Our next question comes from Richard Davis with Canaccord. Your line is open.
Richard Davis: Thanks. I've been digging around. So it was interesting, we did a call with Sheriff’s office and they were like all pumped up about this Nixle, I guess, is that how you pronounce it. But with connectivity and calendaring, so one of the things they said is: "hey, we use it not just for emergency stuff but just kind of regular connectivity to the community". And I don't you probably should use that in Flint, Michigan because watching that video and kind of grew some of that down. But can you use this thing? Could you use Nixle kind of as more – and it can replace outlook, but is it Everbridge something that would be – it looks like a communications tool is broader than emergency messaging and things like that? Or do you think about the business that way? Thanks.
Jaime Ellertson: That's a great question, Richard, because I think on previous calls and when you talked to us about our generic products, we would tell you that we're not just a Mass Notification company anymore, right? We're selling a solution that increasingly we want to be used operationally. We want to drive increased usage. Our two billion messengers last year, on track to do somewhere in the neighborhood of 4 billion messages this year, so doubling at scale. And key to that is driving the usage of our toolset into daily operational use, whether it's for critical events, which can range from anything from a cyber attack, which is happening to major corporations every day in parts of the world, or it's just a weather-related event that's affecting your supply chain and for your operation's ability to get products to customers. We want the toolset across all the products from Mass Notification, including the Nixle product, which is our community-alerting product and what you're hearing there is they're using things for social media outreach or just updates on crime, to major events where Nixle is used in the California wildfires when it's a life and death scenario. So it's across the spectrum into IT Alerting and ultimately with the CEM solution. And yes, we want to drive daily operational use. We just don't want to be used in an emergency. And obviously, we are seeing great success with that strategy and that operational execution with customers.
Richard Davis: Great. That’s helpful. Thank you.
Operator: Thank you. Our next question comes from Terrell Tillman with SunTrust. Your line is open.
Terrell Tillman: Hey, Jaime, Ken and Bob, how are you guys doing? All well. We're looking forward to hearing about countrywide deals going forward. There's one thing for state but now we're going to hear about countries, or maybe continents at some point. But I guess, I have a question for Bob, if that's okay. Bob, one of the things that you had mentioned was the idea of verticalizing sales, and your history in Akamai in previous jobs, where are you in terms of verticalizing sales? And what would the outcome of enhancing some of the vertical selling motion?
Bob Hughes: We're still in process. As we talked about, which of the sales force for continued growth, we're being very methodical about the pace that we do that. Obviously, when I joined, we've got a great running business here and it's performing well. But I do think we are seeing great up here, talked about in the call. Great benefits from focus on the vertical go-to-market strategy. So it's going to be an ongoing evolution. Obviously state and local being our first vertical, when the company started then we talked about corporate but now we're breaking it down to financial, vertical and go deeper and deeper. What you'll start to see is much more tailored use cases, hopefully quicker sales cycles, but that'll taking some time. And what we do is generate the pace that resonates with quickest with customers and with the standard products that. And we are at the beginning of the journey. But again, we've got a great running business I want to be careful in how we do it. But we are seeing some great signs of early success both in the pipeline is from the sales force responsiveness on the customers respond because we’re going in with not a generic pitch but much more tailored of what does a banker about, what does a retailer care about. And those are very different use cases of a common platform, which gives you the scale like we saw at Akamai, same thing can happen here.
Terrell Tillman: Got it. Thank you for that. And Jaime may be just – I don't want to put words in your mouth, are we seeing an inflection point with VCC and just the broader CEM vision? And if so, I mean the dollar value of the first seven-figure deal, it seems notable, where could you attribute that to in terms of just more learnings and comfort from the sales forces just knowing how to pitch it? Things are now done just a product marketing or just the market readiness? I'd love to learn more about and if maybe there is indeed a notable inflection point, what driving it. And congrats on the quarter, thanks.
Jaime Ellertson: Yes I mean in general, I'd say you're spot on. I think we are getting either close to an inflection point or at one. It's hard to see that until you pass it, right? But first, as Bob said, we're learning how to package and position and productize the benefits of CEM every day better. And as we do that, we rolled out the CEM vision, literally, at the start of this year to the entire sales force for broad participation, because last year was the year of integration of the IDV business and focusing all the other things we are going. And so in the first quarter, we saw that adoption starting to take root with a doubling of the ASP kind of and the largest transaction we've ever closed. And we've done that with the multiple products sets as well. I think you've got at inflection point or certainly an increase in the types of events that we're dealing with. And those events, as I mentioned, from Parkland to YouTube to Toronto to mudslides or fires or volcanoes in Hawaii, it's not like that's stopping anytime soon. And you gentlemen know that drives our business. And then finally, as I mentioned, you have the intersection now with CEM of not just physical assets so think offices, manufacturing, bank branches and people, the human asset, but now we're able to bring in and start to see CEM deals close with IT Alerting. Certainly, multiproduct purchases, where IT Alerting is a multiple six-figure transaction combined with a customer who has VCC and has Mass Notification or Safety Connection Pro. And as you know, the more products we have, the stickier we get and the easier it is to present a benefit to the guys who really have the budget – or gals at the very top of an organization. So I think those three things are driving an inflection point. We'll let you know over the next couple of quarters. I can't tell you that it's not going to accelerate even faster. We don't know what's going to happen in the next couple of quarters. But certainly, the signs are pointing in the right direction for us to gain a continued momentum with that CEM suite.
Terrell Tillman: That’s helpful.
Jaime Ellertson: Thank you.
Operator: Thank you. And our next question comes from Brad Sills with Bank of America Merrill Lynch. Your line is open.
Brad Sills: Hey guys. Thanks for taking question. Just one on international, if I could please. Obviously, real good results there. What would you attribute that to? Is there something about the productivity in the region on some of the new hires there recently? Is there a late adoption cycle going on? What would you attribute the uptake guide in that business?
Bob Hughes: Yes this is Bob. Great question. Couple of things, one is we did hire and build out the management team in Europe, with Javier Collateral joined back in the summer. So we've started to ramp that business, we've been building out the team. And it comes back to the CEM vision is resonating across the globe, it ticked up. We spent a lot of time making sure every sales rep could time making sure every sales rep could pitch that whole suite and story. Obviously, different markets are in different phases of adoption. But people, when you present the suite and they start to understand the vision and it really changes it from a messaging conversation to something much broader. Customers will obviously enter a different products, enter the suite. People are starting to get the importance. And as Jaime mentioned earlier, the world is certainly a little bit turbulent at the moment. So us being out there, making the sales calls, building the pipeline, we're starting to see the success and the return on those investments. We have a long way to go but we're happy with what we're seeing so far, here in international, the early indications are good.
Jaime Ellertson: Yes, and I'd add to Bob's comments that we've invested pretty heavily there too. We did open multiple international offices last year, we've mentioned that. We did sign up multiple international partners. You heard Bob mentioned that we landed the largest Scandinavian furniture retailer through one of those partners, International SOS. That partnership continues to produce. We had our partnership that was announced two quarters ago in Singapore produced during the quarter as well as direct deals in the region from the direct team that Javier Collado is building. So when all of those come together, you start to see that movement of, in the quarter, 60% year-over-year, which is obviously faster than the whole business, which we like to see given its size. Long way to go, as Bob said. But lots of good early indication and progress.
Brad Sills: That’s great. Thank you so much. And then one more if I may, on UMS please. It sounds like PAS and LBAS is some pretty exciting technology. Is there an opportunity to cross sell that into the U.S.? Is it ready for U.S? Or is there something about the product that you might you might require some effort there? Do you see it that way, I guess?
Jaime Ellertson: So just a little bit of background. So PAS and LBAS are for us this year, and really for the foreseeable future, primarily international technology. They are a technology that you see using the U.S. is so broadcast. That hones in the phone being tuned into a certain frequency, typically pre-configured by the operators and then having a user know how to turn that on and utilize it. And so in markets like the U.S. and other cell broadcast messages, the simplicity is you can send a simple blast message, not a two-way message, because it's simply outbound blast, that's why whenever you hear your phone call from the U.S., it’s just a blast. It’s also typically around 30% that get a message even in an advanced market. And the problem with that is, when you're sitting somewhere and somebody gets a weather blast, their phones search [ph] going off in an airport that's all phone cut off. We believe that the PAS technology represents a lower cost of entry. It doesn't require the massive infrastructure and telcos adjustment. And it more simpler because you literally can identify to an installed component within a mobile operator, every cell phone or mobile device connected to a carrier and then quickly communicate either one-way or two-way messaging to all those recipients. And the great example is just the one I gave you, which is a city. And it could be a mudslide or a flood in Paris or it could be a terrorist event or shooting. But literally, you're circling an area, being able to interrogate the mobile operator's infrastructure and find out all the connected cell phones and then communicate with a one-way or a bidirectional messages to everyone that's on. And typically, in a major European city as an example, or Singapore or Hong Kong or Sydney, Australia, you're going to have at any given time, x number of some high percentage of residents, but you're also going to have visitors. Visitors from Southern Australia as well as from Hong Kong or the U.S. there. And this system's the only one that can quickly allow you to communicate to virtually the entire population, no opt-in required, nothing done by the mobile user. If they happen to be there and happen to have their phone, which we all tend to within a family organization have at least have at least one phone on, especially visiting a foreign country, then you're going to get the message. So we think it's a unique technology. And as I mentioned, 70-plus patents. So it sets up a pretty steep barrier for anyone to compete with us on this and given its already skilled and deployed in multiple countries worldwide at similar in dollars and revenue opportunities as our statewide deals, our largest statewide deals, we think that's pretty exciting. It does literally supersize states to whole countries now.
Brad Sills: That’s great. Thanks Jaime.
Jaime Ellertson: You bet.
Operator: Thank you. And our next question comes from Scott Berg with Needham. Your line is open.
Scott Berg: Hey guys, congrats on a really nice quarter. Two questions from me on kind of relation to the same multiproduct sale kind of area. I don't know if it's spurred Jaime or Bob. But your mix of non-Mass Notification bookings now on the trailing 12 months is 49%. What do you think that normalizes to over the next two or three years? Because it's obviously trending down favoring the other non-Mass Notification products?
Jaime Ellertson: Yes. We don’t think of it as a downward trend at all, other than the fact that, the success of the new products, either in growth deal, across an upsell, an existing customers only maybe one product or two, selling the third or fourth or a net new customer, where we’re selling multiple products. What we’re really trying to associate is when we went public, the business was comprised the basic of 80% Mass Notification, almost 90%. And with the introduction, over the past three years, of multiple products of the point, that with UMS now we have 10 or 11 products in the suite, we have the opportunity and wanted to use a metric to show you the success with which we’re introducing those new products into our natural rhythm. Now the large lives of the Mass Notification base makes it easy to say that we’re getting more and more time with customers on the new products versus the existing Mass Notification and instant notification. But it’s not as much that’s trending down as we’re having such success with the other new products in opening up so many opportunities. So when the devisor is the base, it’s by definition, it has to go down. And so that’s just really the success of the new products. As you’ve seen, and we’ve said, our Mass Notification product is holding its own and with the opening of the FedRAMP process and the SaaS customers that we’re inheriting to the UMS acquisition. I’m pretty sure it’s going to sustain its current growth level throughout the year. That’s important because at that size and the bulk of the percentage of overall Mass Notification is to the company, we can’t let that shrink and just be offsetting it with new sales. We want the new sales to lead to true growth of the company’s revenue overall. And that’s why we give that metric out to show the continued success of the new products, not really to highlight that Mass Notification shrinking, because it’s doing anything above.
Scott Berg: No. I didn’t phrase that properly. I wasn’t trying to necessarily imply that. In fact, I like how the messaging changes from what some thought a one trick pony at The IPO to a multicolor, technicolor portion of that, as I like to call it. Lots of opportunities there. But the follow-up on that is, how would you like the percentage of your new deals today in terms of multiproduct sales? Obviously the number’s increased substantially on a year-over-year of your basis. But how does that look like today versus last Q1, in terms of, I don’t know, 20% of your initial deals or multiproduct versus last year?
Jaime Ellertson: Last year in Q1, there were 54, this quarter they were 70. So it’s growing substantially, right. I don’t know that is, 40%-some growth or something. And that’s really the reps, and as Bob said, the packaging and what we’re doing, the reps we’re obviously trying to get them to sale three products at ones versus one. A, because we make a bigger sale so it’s a much significant increase sale when we do that. Two, we’re stickier with the customer. Once they implement us across multiple departments with three products, they’re much less likely to not renew when the subscription comes up the next year, the following year or five years from now. And it presents more of an opportunity for us to be a large single strategic vendor providing greater benefit. So for all those reasons, yes, we couldn’t agree more that the goal is to sell more products. You’re seeing that increase, I don’t look at – like 40% up year-over-year, and we’re gaining traction with it. And the CEM suite is the – is our highest level, most strategic offering. And there what we saw was a doubling, 200% increase in the ASP year-over-year. Early days still, but very encouraging, because that’s our largest potential sale. With new products coming into that suite and the traction we’re getting, that bodes well for us to continue our overall growth as a business with those drivers.
Scott Berg: Great. That’s all I have. I’ll jump in the queue. Thanks for taking my questions.
Jaime Ellertson: You bet.
Operator: Thank you. Our next question comes from Brian Peterson with Raymond James. Your line is open.
Brian Peterson: Thanks, gentlemen, and congrats on the quarter. So just one high-level one from me. So as you guys have really increased your presence in international markets, Jaime, I’m really just curious if there’s anything that you can say about what we should expect there? Or if there’s any market dynamics that are really different from what the success you guys have had domestically? The CEM suite, should we think about that opportunity there as the same price points? Just I’m curious, because clearly with the UMS acquisition, that’s going to be a bigger part of the story going forward. Thanks, guys.
Jaime Ellertson: Yes. I appreciate the question. I’ll let Bob comment on it too. But I would tell you, I’m pretty bullish as I was in my comment. It’s not a forward-leaning statement or anything else. I’m just pretty bullish about the opportunities that we see internationally and the traction that this past quarter’s results indicate. When you have customers buying into the CEM vision long-term, when you have them buying multiple products internationally, that’s a very good sign for us, because as our results indicate, we’re still only, even with good growth and 60% growth in the international business year-over-year, it’s still only 11% of our business. There’s a lot of room there for that to accelerate. And we all pretty much agree that any large multinational, Fortune 2000, Fortune 2500 Global, Fortune 1000 Global, they’ve got so many events coming out and so fast that they need a solution that integrates and gives them a common operating environment across the enterprise. And that enterprise typically is not based in Hong Kong only, it’s based throughout Asia and North America and Europe. And to manage that, they need a solution that is going to take all that threat, all that internal data, put it into a single environment and allow them to understand the impact, reduce and mitigate impact and ultimately collaborate to ensure that the business is safe and there are people are safe as well. Business continues to operate and the people are safe. And so I’m very positive about international. I’d be surprised if we don’t continue the trends we’ve established here. Bob?
Bob Hughes: Yes. As I mentioned earlier, we’re still learning there. But the early indicators are very positive. If you look at the last few quarters, I’d say couple of things that I was very pleased to see is one as I mentioned, we’re signing six-figure deals, which intuitive I said we will probably have some smaller transactions and we’re seeing larger deals. We were selling the ITA solution as well as the Safety Connection solution. Or if you look at a year ago, it was predominantly Mass Notification. So I’d say again, the early indicators are, you can sell the suite, the pitch is resonating, the price points are moving up. And then with UMS, I’m really excited to get that one integrated because that’s a really interesting game changing conversation when we go in and we’re talking about whole countries, right? So states are interesting, I think whole countries are going to be a lot of fun. Obviously there will be long sales cycles, and again we’ve got a lot of learning. But we picked up some great technology, great people and excited to bring that whole suite together, that the indicators are really good, they’re early indicators.
Jaime Ellertson: Yes. And if you think of – closing comment would be, if you think about our statewide traction in North America, states led to us being in a particularly strong position, where we’re winning and try into smaller cities, individual public safety applications or agencies and then the corporations. In New York state, we think we’re in a pretty good position to sell major New York companies and organizations throughout the state, because we’re the Mass Notification system for the largest city and the state. And why would you interject a new solution vendor that wasn’t able to learn the city or the state business into that mix. Now supersize that for me, if you will, into a country like Sweden or the Netherlands or Singapore or one of our other countries we’re working on. As you win the country, why wouldn’t we win the vast majority of the open opportunities for the corporations or the cities or the other transportation clubs, et cetera. It just sets us up, as Bob said, to be in a very strong position to grow that business for the foreseeable future.
Brian Peterson: Great color. Thanks guys.
Operator: Thank you. And our next question comes from Brent Bracelin with KeyBanc Capital. Your line is open.
Unidentified Analyst: Hi, this is Clarke on for Brent. Jaime, I know you touched a little bit on this with the other products, but do you have some initial thoughts on the roadmap for the two Mass Notification products? Will domestic customers that are currently UMS of product users, will they eventually be merged over to Everbridge? I’m thinking mainly the state customer contracts and how you will approach that?
Jaime Ellertson: So UMS is set international product focus for the next few years. There may be some opportunities to do some things with broad-based utilities or international organizations in the U.S. But for the most part, UMS as a product set we will focus on internationally and drive whole country opportunities, rather than selling our solution, which typically would be sold in cities, like we have today with London or various Italian or other European cities. So UMS won’t be brought into the U.S. any time in the near future, I don’t think, and our focus will be on international. In terms of the integration of the SaaS customers, we published roadmaps as we get all those long-term product integrations sorted out and are committed to supporting both the UMS customers and the Everbridge customers long-term. We will ultimately only have one each type of core product. But the path to when we integrate and how we integrate those customers is still open, because it’s a little early days for UMS, and we want to make sure that we’re supporting the existing customers and then integrating. You shouldn’t be surprised to hear about integrations in the near-term of our Everbridge solution though with PAS and LBAS. Because as we were much – a much broader company in terms of pure international corporate users, we think there’s a great opportunity to expand the value of PAS and LBAS, when it’s installed with our corporate clientele internationally. So that helps you understand how we’re thinking about it. UMS, not a U.S. product. Everbridge, Mass Notification is our core product and will be sustained. Convergence of any of the UMS customers to another one of Everbridge products, we still haven’t finished those migration and integration roadmaps. So we want to make sure we have valued offered customers before we upset them with any planned migration or anything else.
Unidentified Analyst: All right, great. Perfect.
Jaime Ellertson: You bet.
Operator: Thank you. Our next question comes from Dmitry Netis with William Blair. Your line is open.
Dmitry Netis: All right. Thank you very much, guys and thanks for squeezing me in. I have a couple of questions. I’ll be quick. I do want to chime back on the UMS and the guidance you gave. Ken or Jaime, if I heard you correctly, I think you said $3.5 million to $4 million for the full year is what you’re guiding for. On the prior quarter, I believe the guidance was $4 million to $5 million, correct me if I’m wrong. I might be capturing it incorrectly but…
Jaime Ellertson: We haven’t changed the guidance, Dmitry, at all. We’re just holding to that guidance right now.
Dmitry Netis: I see, okay. So then you are upping your guidance for the year by $2 million to $3 million versus consensus. So that basically what you’re implying is coming all from organic growth. And then – so just kind of verify that? And then secondly, if I do look at that UMS business where it was and where – and how fast it was growing, accounting for eight months in the year, that business should have been sort of in the $7 million, $8 million kind of run rate, given where it was a year ago, at around $12 million, right? So if that's the case and your guidance is $3.5 million to $4 million, you're basically telling us that over 50% of the revenue is wiped off by this purchase accounting? Or there might be something else going on perhaps some product rationalization or something else. So a little bit of color on what exactly going on and why not – why aren't you a little bit more opportunistic on kind of the revenue contribution from UMS?
Bob Hughes: So let’s clarify it. We didn't change our guidance is as it relates to UMS at all, it's the same guidance we've held. And secondly, we do have a deferred revenue haircut. And as Ken said in his prepared remarks, we're not completely through that. So we're not trying to raise any upper limit, if we had another $0.5 million or something that we could squeeze that we don't know that yet. That acquisition barely dried. Remember it's a three days after the close of Q1 transaction. So we're still in the first quarter of that acquisition. In terms of our guidance and raise, you're absolutely right. We grew 34% organically in Q1. That's significantly faster than we did last year in Q1. And shows continued progress organically of the business. The drivers we said for the bulk in the business continued to be everything from the acquisitions in part, they go into that total number for the year, across everything from progress we’re having with multiproduct, large transactions, CEM and even the international space as one example. And then as we look to the federal market and see potentially FedRAMP coming on board as a simple example, wouldn't be surprised to see that market open up and us have something meaningful come in before the end of the year. So we have multiple drivers for the year and every quarter we're reevaluating those and that's why we raise our guidance or maintain guidance at a given period. I'm not sure – and Ken, what are the things you would add there? It’s pretty straight forward.
Ken Goldman: We ran into the same issue when we did the IDV acquisition a little over a year ago. Until you figure out exactly what the costs are of service delivery, you can't know what the write down's going to be for deferred, because you can only recognize deferred to the extent of your direct costs of delivery. Furthermore, you then will have to not only make that analysis, but you also have to get your auditors to sign off on it. So you can understand, it's only about a couple of weeks since we completed the acquisition. As important as it is to get it done quickly, it's more important get it done right.
Jaime Ellertson: Yes, and remember, Dmitry, the PAS business and LBAS business, as I mentioned, is a large deal, lumpy deal business like our state business. We won't always record two or three state wins in the quarter, we can go two without and then have like last quarter two. And this quarter have to push to say U.S. Virgin Islands is a 51st state. That's just the nature of the beast with these large deals in transactions. And that is clearly the case with something as large as a country win. They're long-term wins, they're very large when you win them. But as we look at the public results for the UMS business, you’ll see them talk repeatedly about their large past deals and LBAS deals in the previous year. So that's somewhat difficult to predict going forward. So when you put all that in, you get a combination of an organically grown business at 34%, which, by itself, it was continued almost caused us to raise the guidance. And then in addition continued success in new markets opening. Pass and LBAS opportunities that are not net neutral, things like the FedRAMP process opening of the federal government and continued progress with our multiproduct large individual deals and then the CEM strategy taking hold as we mentioned in this quarter.
Dmitry Netis: I appreciate it. If I may one more question. On the bank-related deal you guys cited. I do want to kind of get a little color there because it's very interesting, the financial services industry, healthcare industry, those are kind of I them herd mentalities, right? Once you get one, the rest of them follow. So if you could tell us little bit who we are replacing in these deals and how are you able to kind of land that customer?
Bob Hughes: Yes we’re not going to talk about who we are replacing but how we landed again, as you know, the financial services industry, those are very savvy buyers and it's a combination of the CEM pitch, so understanding that vertical that we've kind of talked about that earlier. When you pitch Everbridge as a platform and they realize that it's a highly secure platform that can sell multiple business problems such as IT Alerting as well as safety, that's a differentiator that's frankly no other competitor that can go with that same level of pitch with the same level of credibility, security, track record history that we can and selling to financial services, that’s exactly what you need. And along with the seasoned financial services sales force, something as we mentioned earlier in the continued verticalization [ph] were building out. But having fallen in that group for a while, that's how they look at it. It's a platform, it's not a one trick pony but if you can imagine those lifecycles are longer. They involve more buyers. Higher up in the organizational majority being a big concern and I’m very proud when you see us winning in those type of situations, it’s a real endorsement for the company and the platform that was built.
Dmitry Netis: Alright thank you Bob, Ken, Jaime. I appreciate it.
Jaime Ellertson: Thanks Dmitry.
Operator: Thank you. We have a question from Tom Roderick with Stifel. Your line is open.
Unidentified Analyst: Hi it’s actually [indiscernible] in for Tom. Thanks for taking our question. Just a quick one from us, I was wondering if you could give us an update on the adoption cycle of the CareConverge product and whether or not seen any material change in your outlook for the healthcare and hospital vector in general since you released that product? Thank you.
Jaime Ellertson: Yes, as I mentioned, I think it was two quarters ago, we have worked – the core of the CareConverge product is Secure Messaging, an application we bought a number of years ago in the secured messaging field, to be able to deliver a HIPAA compliant and healthcare message that would either be a text conversation and keep it secure on the mobile devices in the history with an audit trail and being able to auto wipe things like that, as well as ultimately confirm and deliver voice and even video chat, so video sessions with a doctor, et cetera. They all had to be HIPAA compliant in the healthcare space. We saw a need for that built with our corporate customers and lot of other customer bases not just the healthcare space. And so we adopted the product roadmap to integrate it in as a core feature. It is used heavily in CareConverge in the quarter, as Bob said, we had some rather large healthcare deals and those in most cases had CareConverge rolled into them and sold by our health care sales team, which is a vertical group that Bob is pushing with our verticalization market focus that has the healthcare background and focuses on the kind of integrated care team, which CareConverge focuses on and delivery value, first in the ER and then across the entire care team for a patient. And that was – the CareConverge was president [ph] of the deals we closed in Q1 as well. It's just increasingly becoming a core part of the product as a assumed feature instead of a separate feature that you'd buy because we’re rolling the features and across the platform, making our messages secure and encrypt that is something you would want to incorporate just as much for legal counsel or someone doing an acquisition for instance, just as much as you’d want it in the healthcare field to be HIPAA compliant. Does that help, Tom?
Ken Goldman: That’s [indiscernible].
Jaime Ellertson: [Indiscernible], sorry. Any other questions.
Operator: Yes we have a question from Mike Latimore with Northland Capital. Your line is open.
Mike Latimore: Great thanks. Great quarter. Just two quick ones on UMS. I guess in terms of the country opportunities, I would imagine that being part of a bigger organization like Everbridge, maybe that accelerates the sales cycle, I guess is that one thought there? And then secondly, just from a metric standpoint, how many customers should we think of UMS adding to the overall customer comp?
Jaime Ellertson: First answer is yes Spot on. Obviously, that didn't escape us that they were a very small, roughly $10 million public entity that was losing money. And at times, I'm sure struggled with the investment in a product that had to be sold anywhere in the world from Asia to Northern Europe. And Everbridge's profile, and stability, and size and balance sheet helps dramatically with those longer-term state-like or country – entire country deals, because they're not, as Bob said, short-term deals. They take some effort and can span a fairly lengthy sale cycle. So yes to the first one. And we believe Everbridge will add the brand and stability which is necessary to lock this down. But again, 70-plus worldwide patents, unique technology, someone else has it, we think we're in a great spot there. And then your second question was?
Mike Latimore: Just from a metric standpoint, how many customers should we think of UMS adding or how many you’ll add to customer count for the quarter?
Jaime Ellertson: Yes we will have to go through it, like what we said it would be 100 because they have significantly more than 500 in their SaaS business and then they have hundreds across the rest of their business, PAS and the Previstar business. And we have the segment them out and make sure they fit our definition so we're being consistent with you. So we'll have that done by next quarter. But roughly speaking, anywhere from 200 to 750, I don't know. We're guessing right now. So we don't have a specific answer. But we'll put that out either in one of Ken or my financial presentations where we could do it broadly and meet the disclosure requirements, or will have it certainly by the next quarterly call.
Mike Latimore: Okay thanks. Great result.
Jaime Ellertson: You bet.
Operator: Thank you. And I’m showing no further questions at this time. I would like to turn the call back to Mr. Jaime Ellertson for any closing remarks.
Jaime Ellertson: Thank you for participation. We’re excited about the Q1 results, the momentum our business is showing, the fundamental metrics that we're able to post and the newly announced transaction, and we're even more excited for the rest of 2018. So thanks for taking the time with us today. We look forward to seeing you out on the conference circuit. Thanks, operator.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone, have a great day.